Operator: Ladies and gentlemen, thank you for standing by. Welcome to the John B. Sanfilippo & Son First Quarter Fiscal Year 2025 Operating Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would like now to turn the conference over to your first speaker today, Jeffrey Sanfilippo, Chief Executive Officer. Sir, please go ahead.
Jeffrey Sanfilippo : Thank you, Michelle. Good morning, everyone, and welcome to our 2025 first quarter earnings conference call. Thank you for joining us. On the call with me today is Frank Pellegrino, our CFO; and Jasper Sanfilippo, our COO. We may make some forward-looking statements today. These statements are based on our current expectations and may involve certain risks and uncertainties. The factors that could negatively impact results are explained in the various SEC filings that we have made, including our Forms 10-K and 10-Q. We encourage you to refer to the filings to learn more about these risks and uncertainties that are inherent in our business. The highlight for this quarter is sales volume increased 24.5% to 91.2 million pounds. We are encouraged by sales volume increases across all 3 of our distribution channels in the first quarter. The consumer distribution channel delivered its strongest quarterly sales volume growth, excluding the impact from the Lakeville acquisition, in the past 8 quarters as the overall core nut and trail mix category continues to stabilize and recover. The category may be challenged by increasing commodity costs and corresponding selling prices in the next few quarters, but we remain optimistic that the strategic pricing actions we initiated last quarter will continue to drive positive momentum in our consumer and distribution channels. In addition to the impact from our strategic pricing actions, our profitability in the quarter was impacted by a onetime concession to a snack bar customer due to capacity constraints at our Lakeville facility. We believe these capacity constraints and increased expenses have been resolved. However, we continue to focus on identifying and implementing cost savings and operational efficiency to enhance our future profitability in Lakeville and across our organization. This is the busy season for our nut and trail mix business. Our sales, marketing and operations teams have done a great job building our business for the upcoming holiday season, and we are in full swing with shipments to customers. To support our growth, I mentioned on our last call that the company has expanded our manufacturing footprint, and JBSS leased a 446,000 square foot facility in Huntley, Illinois, about 4 miles from our current headquarters in Elgin. At our Board of Directors meeting yesterday, we went to the grand opening of the new facility for a ribbon-cutting ceremony. It is an exciting time for our company, and we are already shipping many of our largest customers from the new distribution center. This expansion will allow us to increase our manufacturing capabilities in our headquarters with additional bar production capacity and nut and trail mix packaging capacity. As we have shared on previous calls, the inflationary environment has changed consumer behavior, and we have seen them shift to more value-focused retailers such as club stores. Our teams have worked hard to expand our retail distribution, especially in the club channel, with innovative products and pack sizes. I'm happy to report that our OVH brand has gained several rotations at a key club retailer, and we will begin shipping new innovative snacks in December. I'm so proud of our R&D team for creating amazing innovative snack products and building a pipeline for future growth and a call-out to our sales teams for building collaborative transformational partnerships with key retailers. As you will hear from Frank, this past quarter saw margin compression due to several factors. To get back to normalized margins, a major priority is to continue to focus on operational efficiencies and optimizing our supply chain. AI technology is already having an extraordinary impact on businesses around the world, and we have developed an internal team to assess how JBSS can use AI to enhance our systems and processes. Several use cases have been identified, and we will be executing projects in the coming fiscal quarters. In addition to driving costs out of operations, another key driver for margin stability is aligning our costs with selling prices. We experienced significant cost increases for chocolate, cashews and almonds. And recently, we are seeing significant increases in the walnut market. The sales and marketing teams are having those tough discussions with our customers today about necessary price adjustments to maintain high-quality product and service levels. I'll now turn the call over to Frank to provide additional information on our financial performance for our fiscal quarter.
Frank Pellegrino: Thank you, Jeffrey. Starting with the income statement. Net sales for the first quarter of fiscal 2025 increased 18% to $276.2 million compared to net sales of $234.1 million for the first quarter of fiscal 2024. Net sales for the current first quarter included approximately $40.5 million of net sales from the Lakeville acquisition. Excluding the Lakeville acquisition, net sales increased $1.6 million or 0.7% driven by a slight increase in sales volume, which is defined as pounds sold to customers, combined with a slight increase in the weighted average sales price per pound. Sales volume increased 30.8% in the consumer distribution channel primarily due to the Lakeville acquisition whose sales volume is almost exclusively private brand bars. Private brand sales volume increased 36.1%. Excluding the impact of the Lakeville acquisition, sales volume increased 3.4% in the consumer distribution channel primarily due to a 3.9% increase in private brand sales volume. The sales volume increase for our private brands in the consumer distribution channel was mainly driven by new peanut butter distribution and nutrition bar distribution as well as increased volumes of mixed nuts and snack and trail mix at a mass merchandising retailer due to retail pricing adjustments and rotational distributions. Sales volume increased 5.4% for our branded products, which include Fisher recipe nuts, Fisher snack nuts, Orchard Valley Harvest and Southern Style Nuts. The increase in branded sales volume was mainly due to higher sales volume of Southern Style Nuts at a club store as they returned to normalized inventory levels compared to the same quarter last year. Sales volume increased 1.2% in the commercial ingredients channel primarily due to the Lakeville acquisition. Excluding the Lakeville acquisition, sales volume remained relatively unchanged and only decreased 0.6% in the commercial ingredients distribution channel. Sales volume increased 13.3% in the contract manufacturing distribution channel due to increased granola volume processed in our Lakeville facility for a major customer in this channel. Excluding the impact of the Lakeville granola volume, sales volume decreased 19.8% in the contract manufacturing distribution channel due to reduced peanut distribution by a major customer resulting from soft consumer demand and rotational distribution for a club store customer, which did not reoccur in the current quarter. Gross profit decreased by $10.5 million or 18.4% to $46.5 million and includes a $400,000 positive impact from the Lakeville acquisition. The decrease in gross profit was mainly due to lower selling prices caused by competitive pricing pressures and strategic pricing decisions as well as higher commodity acquisition costs for peanuts and most tree nuts, a onetime price concession to a snack bar customer and increased manufacturing spending due to capacity constraints at our Lakeville facility. These factors were partially offset by increased manufacturing efficiencies at our other facilities. Gross profit margin decreased to 16.9% of net sales from 24.4% in the comparable quarter of the previous year primarily due to the reasons cited before and the higher net sales base as a result of the Lakeville acquisition. Total operating expenses for the current first quarter decreased by $2.9 million compared to the prior comparable quarter. Excluding the Lakeville acquisition, total operating expenses decreased by $4.9 million primarily due to lower advertising expenses and incentive compensation expenses, which were partially offset by an increase in rent expense related to our new distribution center. Total operating expenses decreased to 10.7% of net sales from 13.9% for the prior comparable quarter due to the higher net sales base as a result of the Lakeville acquisition. Excluding the impact of the Lakeville acquisition, total operating expenses as a percentage of net sales decreased to 11.7% from 13.9% due to the reasons cited before. Interest expense for the current first quarter increased to $500,000 from $200,000 for the first quarter of fiscal 2024 due to higher average debt levels. Net income for the first quarter of fiscal 2025 was $11.7 million or $1 per diluted share compared to $17.6 million or $1.51 per diluted share for the first quarter of fiscal 2024. Now taking a look at the inventory. Total value of inventories on hand at the end of the current first quarter increased by $19.8 million or 11.3% compared to total value at the end of the first quarter of fiscal 2024. The increase in the value of total inventories was primarily due to $21.1 million of additional inventory associated with the Lakeville acquisition. Excluding the Lakeville acquisition, the value of total inventories on hand decreased $1.4 million or less than 1%. The weighted average cost per pound of raw nut and dried fruit input stock on hand, excluding the impact of the Lakeville acquisition, did not change significantly. Please refer to our Form 10-Q, which was filed yesterday for additional details regarding our financial performance for the first quarter of fiscal 2025. Before I turn the call over to Jeffrey Sanfilippo, please note that we will be presenting at the Southwest IDEAS Conference in Dallas on November 20. Our presentation is scheduled to begin at 2:30 p.m. Central Standard Time. Now I will turn the call over to Jeffrey to discuss category trends.
Jeffrey Sanfilippo: Thanks, Frank, for the financial updates. Success requires smart strategies and the right business model for sustainable growth. It also requires a talented and committed group of leaders across the organization. And I believe we have all those elements of success here at JBSS. I'd like to thank all of our team members who have worked tirelessly through this challenging time to take care of our customers and provide great-tasting, innovative products that bring joy, nourish people and protect the planet. I am optimistic our strategic investments and initiatives over the past 3 years will drive future strong operating results and create long-term stockholder value. I'll now share some category and brand results with you for the quarter. To get a broader view of the total market of our categories and to align reporting with a more representative view of the JBS customer base, we are changing our reporting to be on an all-outlet panel basis. As consumer shopping behavior shifts to places like club, e-commerce and specialty stores, we believe this all-outlet view gives us a more comprehensive look at the total category. Additionally, we will begin reporting on brand and private label performance based on our internal shipment data to align with this broader market view. All the information I'll be referring to is Circana panel data, and for today, it is for the period ending September 29, 2024. When I refer to Q1, I'm referring to 13 weeks of the quarter, ending September 29, 2024. References to changes in volume are versus the corresponding period 1 year ago. For pricing commentary, we are using scan data from Circana, which includes food, drug, mass, Walmart, military and other outlets, and we are referring to the average price per pound. We are using the nut, trail mix and snack bar syndicated views of the category as defined by Circana. In the latest quarter, we saw the first quarter of growth in the broader snack aisle as defined by Circana on a volume basis in over 2 years. Volume and dollars both grew modestly in Q1, up 0.8 point and 1%, respectively. This is better volume performance than we saw last fiscal year as consumer pricing has started to stabilize and inflation has eased. The snack nut and trail mix category grew relatively on pace with the snack aisle, up 1.8% in pounds and down 1.4% in dollars. This is an improvement in the performance that we saw in fiscal 2024 as first quarter price per pound for the broader nut and trail categories continued to soften, down 2.4%. Now I will cover each category in more depth, starting with recipe nuts. The recipe nut category was relatively flat in dollar and pound sales. This is an improvement in dollar performance but a decline in volume performance versus what we saw in fiscal '24 as pricing has started to stabilize in this category, essentially flat to last year. Our Fisher recipe shipments were also essentially flat in Q1 with continued strength in e-commerce, grocery and mass. Fisher is still the branded recipe nut leader, and we are gearing up for a holiday season with shopper and consumer programming starting in November. We are focused on helping consumers prepare mouthwatering nut-centric recipes with high-quality fisher nuts that won't break the bank. Now let me turn to the snack and trail mix category. In Q1, the snack and trail mix category was up 1.8% in pound sales and down 1.4% in dollars. This is better performance than we saw in fiscal 2024. We saw prices fall 3.3% in snack nuts with lower retail prices across all nut types except for almonds. Trail mix prices were flat. Fisher snack and trail mix performed worse than the category with shipments down 12% in pounds. This continues to be driven by distribution loss and non-repeating certain promotions at a major specialty retailer. Our Southern Style Nuts brand shipments increased 57% in pounds driven primarily by the club channel lapping low inventory in fiscal '24. We also saw strong growth in e-commerce and mass. Our Orchard Valley Harvest brand, which primarily plays in trail mix, grew 14.3% in pound sales driven by strong growth across channels, including specialty, e-commerce, club and grocery. We are continuing to drive awareness and trial at retail and are gearing up for new product launches starting in Q2 of fiscal '25. Our private label consumer snack and trail shipments performed in line with the category with pounds up 1.4%. Now we will switch to the snack bar category. In Q1, the snack bar category declined 1.8% in pounds and increased 0.6% in dollars. This is better volume performance than fiscal 2024 as a major branded player that faced a recall last winter has started to come back on shelves. Private label continues to grow as a segment within bars, up 12% in pounds and 13% in dollars. Our private label bar shipments are up significantly versus a year ago driven by the Lakeville acquisition, shipping to more customers and velocity growth at current customers. And we continue to see positive momentum in private label in the snack and nutrition bar category. In closing, we will continue to execute on our strategic plan as we navigate through upcoming fiscal quarters. Moving forward, our main priorities will be to optimize commodity acquisition costs and selling price alignment, drive category growth for snack and trail mix, increase our snack and nutrition bar distribution and identify additional operational efficiencies. No doubt, we are facing ongoing headwinds with shifts in consumer behavior and commodity inflation with several nuts and ingredients. Despite these headwinds, I'm confident that we have the people, the processes, the brands, the expertise and the financial strength in place to be agile and successfully navigate our company through these volatile times to grow our business. I would like to thank our amazing and hardworking team for their dedication. All of us at JBSS have a steadfast commitment to develop business plans that create shareholder value and provide relevant, profitable, value-added products and services to our customers and consumers. We appreciate your participation in the call, and thank you for your interest in our company. We will now open the call to questions. Michelle, please queue up the first question.
Operator:
Jeffrey Sanfilippo: Thank you, Michelle. Again, everyone on the call, I want to thank you for your interest in JBSS. This concludes the call for our first quarter of fiscal 2025 operating results. Have a great Halloween today. Thank you.
Operator: This does conclude today's conference call. Thank you for your participation. You may now disconnect.